Scott Griffin: Welcome. Similar to our previous quarter and consistent with Greif's ongoing commitment to enhance transparency, we're pleased to provide you with a copy of our conference call slides and management remarks in addition to the 2015 fourth quarter earnings release. You are encouraged to submit questions today to investors@greif.com for the fourth-quarter earnings call to be held December 11th at 10:00 AM. Management will discuss our 2015 fourth quarter results. I'm now on Slide 3. Information provided contains forward-looking statements and uses certain non-GAAP financial measures. Please review the information provided on this slide. I'm now on Slide 4. Today's agenda includes Q4 and full year 2015 overview and transformation highlights, business performance, financial results and 2016 guidance. Presenting the management remarks today are Pete Watson, President and Chief Executive Officer; Larry Hilsheimer, Executive Vice President and Chief Financial Officer. We issued our 2015 fourth-quarter earnings release before the market opened on Thursday, December 10th. The earnings release is posted at our website at www.greif.com in the Investor section under earnings. I will now turn the presentation over to Greif's CEO, Pete Watson.
Pete Watson: Thank you, Scott. Before we review our fourth quarter results, I'd like to make a few comments. Let me first start with my vision for Greif, it is clear and simple. In industrial packaging we aspire to be the highest performing customer service company in the world. Central to this vision is providing exceptional value to our customers. We'll succeed if we serve the customer and will fail if we don't. I'm confident that we'll achieve this and I will hold our entire organization accountable to this vision. I would like to emphasize that we remain fully committed to the transformation process. This is our journey to growth and higher profitability. I'm pleased with the progress being made but quick to acknowledge that much work remains. An important driver is the execution of the Greif business system. This is the process engine for our pursuit of excellence. Our success and commercial excellence, sourcing and supply chain and operational excellence will ultimately be measured by our growth, customer service excellence and gross margin improvement. I'm personally involved with the business to achieve excellence in customer service and improve our profitability. I'm also very confident we're on the right path. We reaffirm our transformation commitments that we outlined earlier in the year, improved earnings, increase cash flow and delivering greater value for shareholders. Please turn to Slide 5 where we'll talk about fourth quarter results. We're pleased to report that our Class A earnings per share were higher than a year ago. Net sales were lower than prior year after adjusting for currency translation and divestitures. This is a result of three things -- lower selling prices in certain regions of steel drum business due to contractual pass through mechanisms, as a result of declining steel cost. Second, some volume losses as a result of discrete pricing actions taken to improve margins. And third, sluggish industrial demand. Finally, we generated $106 million in free cash flow in the quarter. Please turn to Slide 6. In full-year 2015 we are $2.18 per Class A share, net sales were flat over 2014 and the company generated $80 million in cash excluding the impact of Venezuela. Please turn to Slide 7. Our commitment to the transformation processes is strong. We're beginning to see benefits from our actions in our fourth-quarter results. I would like to highlight two points -- one, we've accelerated our SG&A cost reductions ahead of our plan, and two, we continue to address underperforming businesses. We have closed two loss making operations in our flexible packaging business in the fourth quarter. We also announced the closure of two underperforming businesses in our AMEA Rigid Industrial Packaging segment. I would also like to make a special emphasis about the Greif business system. This operating process is critical to our transformational success. The new leader of the Greif business system will report directly to me in my new role as CEO. I would now like to make some summary comments on our four business segments. Our global Rigid Industrial Packaging business is referenced on Slide 8 and 9. In North America, despite sluggish industrial demand we're starting to see benefits from the Greif business system initiatives in our gross margin expansion. Let me be clear we still have much more to do in this business to reach our transformational goals. In Latin America we're experiencing significant economic headwinds in Brazil, which has negatively impacted our performance in this region. However we've seen improved operating working capital results from our transformation process in Latin America. AMEA delivered solid results led by healthy volume growth, in spite of challenging currency effects in this highly diverse region. And Asia-Pacific generated solid profits despite the ongoing slowdown in the manufacturing sector in China. Please turn to Slide 10. Paper Packaging had a solid quarter. Overall volumes were higher than prior year, in spite of an out of cycle schedule maintenance downtime for Massillon Containerboard mill. Our corrugated sheet feeder system core choice delivered 9% volume growth in the quarter versus prior-year. Please turn to Slide 11. Our flexible products business continues to be focused on the turnaround plan. We're slightly behind our timeline, however SG&A cost reductions were accelerated in the fourth quarter and two underperforming operations were closed in Turkey and Morocco. And finally on Slide 12, our Land Management business we sold our Canadian landholdings. That concludes my prepared remarks. I will now turn the balance of the presentation to our CFO, Larry Hilsheimer.
Larry Hilsheimer: Thank you, Pete. Turning to Slide 13. As Pete indicated we are pleased by our progress, but acknowledge that more work remains to be done. Our operations executed reasonably well in a challenging industrial economy this past quarter. Operating results were somewhat better than expected overall, within AMEA and APAC performance slightly better, partially offset by slightly worse than forecasted results in flexible packaging. We also benefited from the execution of tax strategies designed to capture identified tax mitigation opportunities. In addition we benefited from geographic mix implications in income recognition for tax purposes and from our periodic reassessment of potential tax liabilities. These combined actions led to a full year reduction in our GAAP tax expense and resulted in a significantly lower than planned effective tax rate in the fourth quarter. This provided approximately $0.20 per share to our Class A earnings on an adjusted basis before special items. We also benefited significantly from better than anticipated variable SG&A expense management and expect continuing benefits going forward. The combination of our tax strategy and SG&A reduction benefited Class A earnings per share before special items of $0.76 in the fourth quarter and $2.18 for the year. We are pleased with those results given the challenging global market environment. We are also encouraged with our progress, with respect to the $80 million of free cash flow excluding Venezuela generated in 2015. This was achieved despite a year with high capital expenditures related to our paper products investments, cash restructuring cost of roughly $23 million and an FX drag of nearly $19 million. Keep in mind we also incurred a $20 million tax cash payment related to the sale of businesses in the prior year as I've mentioned on previous call. Turning to Slide 14. Currency volatility continues to impact our results. A strengthening U.S. dollar continues to create top line SG&A ratio and bottom line challenges. While this is not news to any of you, the magnitude of the challenge has been significant, particularly for companies that are U.S. centric in their SG&A cost as we are. Given our extensive global footprint you can see on Slide 14 the negative impact foreign exchange had on our net sales for the fourth quarter and the full year. Looking forward we expect these currency challenges to continue in 2016. Turning to Slide 15. In addition to the currency matters just discussed, we also anticipate the deflationary pressures will continue to drive our raw material cost lower, which would impact our top line. On an overall basis, U.S. industrial production remains anemic, particularly when excluding the automotive sector and continues to face pressure from weaker global demand related to the stronger U.S. dollar. Europe's economic recovery remains quite slow. Industrial demand in the Eurozone declined significantly more than expected in September. In addition China's manufacturing activity also faces headwinds and recently decreased to its lowest level since 2012. Turning to our outlook for fiscal 2016, on Slide 16. Our company's results are anticipated to benefit from further implementation of our transformation efforts. We expect to achieve these benefits despite the continuation of a sluggish global industrial economy and continuing strength of the U.S. dollar. There are three key drivers that help to explain the difference between 2015 actual and 2016 forecast results. First, our 2015 results included $0.08 from Venezuela which will not be repeated due to the devaluation we undertook in the third quarter of 2015. Second, the benefits from 2015's implemented tax strategies will not all carryover into fiscal 2016. The mix of where we expect income to be earned among our broad geographic footprint will result in a tax expense increase that effectively eliminates the benefit we recorded on earnings per share in 2015. Finally, currency is projected to create a drag of roughly $0.08 to $0.12 per Class A share in 2016. Taking those drivers into account, we anticipate that our fiscal year 2016 adjusted Class A earnings will be between $2.05 and $2.35 per share. This excludes gains and losses on the sales of businesses, timberland property plant and equipment, acquisition cost and restructuring and impairment charges. Thank you. With that I'll turn it back to Scott Griffin.
Scott Griffin: Thank you, Larry. At this point we have concluded our remarks regarding the fourth quarter 2015 results. On Friday, December 11, Pete and Larry will gladly take your questions at 10:00 AM Eastern time during a live Q&A session. You are welcome and encouraged to submit questions in advance to investors@greif.com. Thank you for listening.
Operator: Greetings and welcome to the Greif Incorporated Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host Mr. Scott Griffin, Vice President of Communications. Thank you, you may begin.
Scott Griffin: Thank you, Rob. Good morning everyone and welcome to the Q&A portion of our 2015’s fourth quarter earnings conference call. We posted a slide presentation and recorded remarks by executive management yesterday under Conference Calls in the Investors section of our Web site regarding our 2015 fourth quarter results. We appreciate those of you who took time to submit questions for today’s call. Similar questions have been combined so that we can efficiently address as many topics as possible. I’m now on Slide 2 of the presentation we posted earlier today. Responding to your written and live questions this morning are Pete Watson, President and CEO; and Larry Hilsheimer, Executive Vice President and CFO. Before the market opened yesterday, we issued our 2015 fourth quarter earnings results, which are posted on our Web site greif.com in the Investors section under Conference Calls. Please turn to Slide 3. This morning’s Q&A session will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Please review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. During this Q&A session, certain non-GAAP financial measures may be discussed, including those that exclude the impacts of acquisitions and divestitures, special items such as restructuring charges, and impairment charges and acquisition-related costs. There are reconciliation tables including our earnings release and the presentation posted on greif.com yesterday. The format for today’s call is to first respond to the questions emailed to investors at greif.com regarding our fourth quarter results. We will then move to live questions. But before I move to Q&A I want to announce that we plan to host in Investor Day in June of 2016, exactly one year from when we originally introduced the specifics regarding our transformation. You will receive additional information about this event closer to that time. Now I would like to move on to the questions. The first question is for Pete Watson. Pete, a numbers of undisclosed investors have submitted questions on this topic. Can you provide an update on where the transformation stands?
Pete Watson: Yes thank you, Scott. We believe the underlying performance of the businesses is improving iterated by the journey of our transformation process. I just want to reiterate we are deeply committed to the process and are pleased with the progress to-date but we have much more work ahead of us. I’ll remind everybody this is a journey and the progress is not always linear. I’d like to provide a few highlights today. First our SG&A cost initiatives have made a good impact over this prior year as we have accelerated our actions in many areas. We're reshaping our portfolio of businesses, since we started this process 14 plants have been closed and 12 businesses have been divested and this is an ongoing process. We are making progress on our efforts to expand our gross margin in our RIPS business, but we still have much more work ahead of us.
Scott Griffin: Thank you, Pete. And we have a question from Adam Josephson of KeyBanc and Chris Manuel of Wells Fargo. What is your guidance for free cash flow in 2016?
Larry Hilsheimer: Adam and Chris, thank you for your question. The shorter answer is that our overall range of expected in 2016 free cash flow is to be between 120 million and 150 million. I will walk you through the bridge to that number shortly, but let me first address why we believe it is appropriate to assess free cash flow for 2015 excluding Venezuela and also without respect to the approximately 20 million of cash tax payment that are related to the sales of businesses in 2014. With respect to Venezuela, I suspect that most if not all of you are aware that it is extremely difficult to get cash out of Venezuela that and the increasingly severe geopolitical and economic difficulties facing that country led us to revalue our operations and balance sheet at the end of third quarter. So earlier in the year prior to that revaluation, we purchased some in-country assets as part of an asset protection strategy with the accumulated bolivars from successful operations over several years. This was not a capital expenditure in the normal course of our business. Later in the year those assets along with all other assets on our balance sheet were revaluated. Given these facts we believe it is most appropriate to assess our free cash flow without consideration of Venezuela, it also make it comparable to free cash flow in 2016 and beyond. This adjustment increased our free cash flow from approximately 70 million to 80 million. With respect to the $20 million cash tax payment, this payment related to the sale of businesses in 2014. We believe the appropriate way to assess our cash flow for 2015 is to increase free cash for 2015. We believe this for two reasons. First the tax relates to the gain on the sale of businesses which we exclude from our definition of free cash flow. Therefore, it seems inconsistent to reduce operating cash flow by the tax payments funded by the proceeds of the sale. Second, we have repaid it in 2014 which would not have been wise with our cash management, 2015 cash flow would not have been reduced. With that as the background, let me create the bridge from 2015 free cash flow to the expected cash flow for 2016, please go to the Slide 4 in the deck that we posted to our Web site this morning. First, begin with the 80 million from 2015 ex-Venezuela cash flow as shown on Page 14 of our earnings release which is also shown on Page 26 of our conference call deck. Next add back the approximately $20 million of tax payment we just discussed which will not repeat that provides a starting point of $100 million. We currently expect the CapEx will be approximately $12 million to $37 million less this year and that the cash restructuring cost will be approximately $10 to $1 million more than the 23 million we incurred in 2015. That brings us to 102 million to 136 million. Next, we anticipate operations would generate between 14 million to 32 million in incremental cash flow, net of taxes and currency impacts that should bring you to a range of 116 million to 168 million. Finally, we expect our operating working capital management will results in an impact from 4 million positive to $80 million negative. Thus, our overall range of free cash flow is expected to be between 120 million and 150 million. One note is that our GAAP restructuring expense was approximately $40 million in 2015 and we currently expect it to be between 15 million and 25 million in 2016.
Scott Griffin: Thank you, Larry. Pete, the next question is from Adam Josephson of KeyBanc. He asked what your volume assumptions for 2016 are and can you elaborate on them?
Pete Watson: Sure, thanks Adam for the question. On a macro level we expect to grow organically equally industrial growth rates in all of our key area in these markets and let me give you an example of what that is, so in our Rigid Industrial Packaging business we have really four key end-used markets that we serve and they include chemicals, lubricants, ag and pharma. And those four key end-used markets the blended in industrial growth rate for those on a global basis are between 1.2% and 2.5%, so I’d like emphasize that there are four more key strategic growth initiatives that are foundational in our plans for 2016. The first, our paper packaging growth initiatives and we have three of them. The Riverville Mill modernization includes a full year of growth benefits of our semi-chemical and medium volume. The second is our North Carolina sheet feeder expansion that will consume a large percentage of the Riverville incremental volume. And third, is the addition of a second [indiscernible] in our Michigan sheet feeding operation. This will produce litho-laminated corrugated sheets for point of purchase end uses, and that project will be operational in January of 2016. The second strategic growth initiative is our continued expansion of our IVC growth platform in EMEA, APAC and North America. We are filling our existing capacities in our plans that have been part of a multiyear RIPS strategy with an eye toward additional opportunities in the future. The third key strategic initiatives, our new Steel Drum plant in Saudi Arabia. This operation is a joint venture along with the strategic global customer and we expect that to be operational by June of 2016 and finally, our expansion of our plastic container business in Southeast Asia that is supported by several strategic global customers that will be operational in May of 2016.
Scott Griffin: Thanks, Pete. We are going to stick with you on the volumes. Can you provide additional perspective on RIPS volumes and specifically Ketan Mamtora from Bank of Montreal asked can you provide additional context on why the 4Q North America RIPS volume was down 9%?
Pete Watson: Sure. Let me start first with EMEA and I'll walk you around the world and finish up with more details in North America. So the EMEA business, we are very pleased with our growth of 3.4% in that region, the growth was led by our Steel Drum and IVC products and most all the regions in EMEA exhibited growth with special highlights in Russia, Benelux and Italy. In Asia specific, our volumes in Steel Drums were negatively impacted by lower industrial demand in China. We also had two large customers that took maintenance downtime during most of the quarter, and we also had discreet pricing actions taken to restore margin which had a negative impact on our volumes. I will comment though that we continue to earn solid growth in our IVC business throughout that region. In Latin America, our business experienced lower volumes, as a result of the deterioration of the Brazil industrial economy that impacted negatively our Steel Drum business. In that region, our plastic container business, which serves the agricultural markets was flat. We did have positive growth in both Argentina and Mexico. And finally to comment a little more specifically about our volumes in North America. Our volumes did decrease 9.1% versus prior year, but I’d like to make a very clear emphasis that our approach is about profitable growth and our volume needs to deliver value and we have no interest in chasing volume for volume sake. So let me walk through the three key factors on what the reduction was a result of. First, we continue to take discreet pricing actions to restore our margins, which we’re happy that we are continually see gross margin improvement in that business in the last four quarters. As stated earlier in the year, we made a conscious decision to reduce our Steel Drum manufacturing capacity by over 20%. These actions eliminated high cost and loss making operations and we completed that task, and third a significant customer took extended downtime during the past four months due to unforeseen operational issue.
Scott Griffin: Thanks, Pete. Larry a question for you what 2015 adjusted EBITDA earning per share should I compare your 2016 adjusted earnings per share guidance to?
Larry Hilsheimer: Thanks, Scott. Let me refer everyone to the Slide 5 in the deck we posted to our Web site this morning and I'll walk you through it. We begin with our 2015 diluted Class A earnings per share attributable more to drive before special items of $2.18 from that we deduct the $0.08 per share that was the portion of earnings per share related to Venezuela in 2015, which will not be repeated due to the devaluation we did at the end of the third quarter of 2015. Next deduct between a $0.12 and $0.08 per share for expected continued strengthening of the U.S. dollar relative to our other impactful currencies. Then as mentioned in my prerecorded remarks, we expect less ongoing tax benefit from the discreet tax planning and income geographic mix than in 2015, in the range of $0.12 to $0.16 per share. Finally, we anticipate our improved operating results to provide between $0.19 and $0.49 per share net of tax and non-controlling interest. Therefore, our expected 2016 net range of diluted Class A earnings per share attributable to Greif Inc. before special items is $2.05 and $2.35 per share.
Scott Griffin: Thank you, Larry. What tax rate, this a question for you, Larry. What tax rate are you assuming in your full year 2016 guidance and what was the comparable rate in 2015?
Larry Hilsheimer: Our expected effective tax rate for fiscal 2016 is expected to be in the range of 39% to 41% depending on the geographic mix of the income recognized. This compares to an effective tax rate in fiscal 2015 of 42.2. The effective tax rate for fiscal 2015 appears higher than what you would anticipate given our final quarter rate. That is because it is the rate after the reduction of GAAP income by special items which produced no GAAP tax benefit because of the valuation allowance required to be provided for the item under Generally Accepted Accounting Principles.
Scott Griffin: Thanks Larry. Larry, Adam Josephson asked about the impact of excess FX on our assumptions as it relates to guidance. Can you offer some color on this?
Larry Hilsheimer: Yes and thank you Adam for the question. We expect an operating profit impact of approximately $8 million to $12 million for 2016 related to the continued strengthening of U.S. dollar compared to in 2015. About the product mix, geographic location and profitability within the country and customer demand may vary compared to what we budgeted. This translates to approximately an overall 6% strengthening of U.S. dollar against our major currency basket. The complexity of our global supply chain and its impact on transaction related currency impacts makes the prediction of currency implications extremely difficult. Our forecast is based on composite of bank analysts and we believe it is a fair representation of anticipated currency changes for our fiscal 2016 year.
Scott Griffin: Okay, thanks Larry. Next question for Larry is we have a question from Adam Josephson of KeyBanc. Can you please touch on the leverage ratio and share what range you are comfortable with?
Larry Hilsheimer: Sure thanks for all the questions Adam. We appreciate it. Our 10/31 covenant debt ratio was approximately 3.2 to 1. While we are comfortable with that ratio currently because we know that it’s driven by high restructuring cost and recorded impairments which we do not anticipate to be recurring as we work towards completion of our transformation initiatives. We remain committed to a target ratio in the range of 2 to 2.5 to 1. Our levels of debt remain significantly lower than they were in 2013 and 2014 across the spectrum of each of those years. We do anticipate our normal cyclical increase in the ratio at the end of the first quarter but we do not have a concern with our ratio nor does it create any concern with respect to payment of our dividends. Achievement of our 2016 budget is expected to such that we would end the 2016 year with a debt ratio of less than 3 to 1.
Scott Griffin: Thank you, Larry. Ghansham Punjabi of Baird wrote a short note yesterday and asked for a better view on our normalized SG&A threshold as a percent of sales can you add more color here?
Larry Hilsheimer: Certainly it’s a good question thank you Ghansham. First let me state that we were very pleased with our progress in reducing SG&A in 2015 it decreased over $80 million with approximately half of the reduction related to the beneficial side of the currency rate movements. We also reduced SG&A associated with divestitures of approximately $19 million and drove out $21 million of other SG&A cost associated with our headcount reductions, travel and entertainment, cost management actions and focused efforts in reducing professional fees and other SG&A cost. These were net of the offsetting compensation and benefit cost increases incurred during this year. For 2016 we are expecting additional savings of 26 million to 30 million made up of 21 million to 23 million related to our assumptions on the further strengthening of the U.S. dollar with additional net reductions of 10 million to 14 million which will be offset by anticipated wage and benefit increases of approximately 5 million to 7 million. In terms of a normalized SG&A as a percentage of sales we remain committed to the transformation targets that we outlined in our Q2 call subject to the underlying assumptions we made at that time.
Scott Griffin: Thanks Larry. Pete and I am moving over to you. We have a question from an undisclosed investor. Can you share additional details regarding your Canadian timberland sales and what are your sales plans in 2016?
Pete Watson: Sure thank you. I will first address the Canadian timberland sale. So the sale in Canada was a development property, that development would require significant capital with an extended payback period. So we viewed our other uses of capital as more attractive, we made the decision to divest that property. To comment on those sales plans in our land management business we really have three categories of revenue for that business. The first is timber sales. While timber sales are subject to fluctuations, our plan and goal is that a consistent balance of harvesting timber to planning based on market and weather conditions. The second category of revenue is land sales. And what we have always done is taken an opportunistic approach based on market conditions to create the most incremental profit opportunities for our business. And finally our category of consulting services. This is a smaller but growing sector in our land management. We expect to see higher growth in this area. Just to comment in closing we have no specific plans to sell any strategic part of our portfolio at this time.
Scott Griffin: Thank you, Pete. We are going to go back to you with a question from Adam Josephson. He asked what trends are you experiencing in paper and do you expect prices to stabilize or the current decline to continue?
Pete Watson: Yes thank you, Adam. My comment is really a key market trends in that Paper and Packaging business are very similar since our third quarter conference call. So what I’d like to do is comment a little bit more on what we are doing and what we are trying to control in our activities in the current space. As you know our business is focused on the execution of our growth and cost reduction strategies in the Riverville Mill based on that modernization project of our semi-chem medium machine. We are starting to see benefits and reduce energy cost of approximately 9%. Our proof product quality and proof product productivity are very evident. As you are aware OCC prices have recently been slowly trending down and that is a major input cost for our Mill system. In our Sheet Feeder business we have expanded the capacity in our CorrChoice Sheet Feeder business in North Carolina and have started to realize those benefits. Industry wide corrugated shipments during the three months that represent our fiscal fourth quarter, we’re up slightly about 1%. We experienced growth of 9% during that same period as a result of our increased capacity. We continue to grow our specialty products portfolio with a special concentration on our Triple Wall business, litho-laminated products and coated products. Also I’d like to reference your last part of the quarter in regard to pricing, I expect to see more stable environment and pricing in our fiscal 2016.
Scott Griffin: Thank you. Pete. Rob, we are going to move over to live questions, so I am going to turn it back over to you. Please.
Operator: Thank you. [Operator Instruction] Our first question is from Ghansham Punjabi with Robert W. Baird. Please proceed with your questions.
Ghansham Punjabi: First off for the current quarter specifically as I guess your first quarter of fiscal year 016, what if any impact you are seeing from customer destocking just kind of given the fragile end markets that you are selling into, particularly chemicals and oil, and so on and so forth?
Pete Watson: This is Pete. We are typically seeing a rigid industrial packaging some destocking in our fourth quarter and we didn’t see anything different than what we have seen typically in the past.
Ghansham Punjabi: Okay that’s good to hear. And then in terms of the growth initiatives that you seem to be making a fair amount of progress on it seems like you have momentum into 2016, but as it relates to the underlying market growth overall for 016. Pete how should we think about the various regions on a global basis and for Greif specifically a forecasting an increase in total on volumes year-over-year?
Pete Watson: Yes so let me first address the regions around the world where we participate, and that’s a great question because there is certainly some turmoil in a few of those. So Asia Pacific and specifically China have seen a continued reduction or slowing of the economy. Brazil obviously here is probably the most dramatic change with what's happened in the last several months with their economy especially in regard to industrial demand. And then you are just seeing general slowness in the economy in industrial manufacturing in EMEA and North America. But back to your question on growth, and I really commented on some of the -- on a question earlier, we expect to grow with industrial demand in these key end use markets we participate in and that will range anywhere from 1% to 3% depending on what part of the world. And what end use that is but I think we are most excited and happy about the strategic growth initiatives we are driving, as I mentioned four of those and we expect to grow in those to carry the majority of our growth into 2016.
Ghansham Punjabi: Okay just one final one from me and maybe for Larry. Larry, how should we think about the benefit in 2015 if any from low raw material cost net of your pass throughs? And I’ll turn it over. Thanks so much.
Larry Hilsheimer: Yes so much of whether we receive a benefit or not from the decreasing material cost depends on the pace of change as you might recall, we ended up having a negative impact earlier this past fiscal year when the cost of steel decreased pretty dramatically on an index basis in the U.S. and we ended up with higher cost steel flowing through our sales channel. We don’t anticipate significant benefit from the decrease in the cost of raw materials, most of that gets adjusted in the market pricing mechanisms and down in our contractual pass throughs. So I would not count on a significant benefit to us from the lower raw material pricing.
Operator: Our next question is from Chris Manuel with Well Fargo. Please proceed with your question.
Chris Manuel: A couple of questions for you let me start with one for Pete. Look you have been now on the role just a relatively short period of time, but can you maybe share with us any thoughts or things that you may want do differently, I mean we have -- how may approach some of the businesses strategic thoughts on how certain things sit maybe any changes to transformation plan, I mean we know this one it wasn't that was kind of subtle where used to see great but safe choices as you're kind of corporate model, but we saw that kind of disappeared and I think in prepared comments you referred some different things you want to focus on the Company, but are there any others that you could kind of talk about and share with us?
Pete Watson: Sure, thanks for the question, Chris. So as you say I have been just over 30 day in my role, new role in the Company and how I am positioning the Company I’d like to talk about three points of emphasis and I really referenced at my prepared remarks, it's a really much more customer focused company and our vision is to aspire to be the highest performing customer service company in industrial packaging and really of three key strategic priorities around that, first centers around developing our people into a high performing teams. Second is how do we recreate value in serving the needs of our customers and that really relates to your safe choice that hasn't changed, safe choice is a marker and the value proposition that we bring to our customers and that will not change but broadly what I want to make sure we do is we are a highly focused company that's creating value for our customers and serving the needs of our customers, and I believe that how you organically grow our business and win in the market. And then the last key strategic priority has to do with our transformational performance and just to make it really clear I am personally very committed to reaching the target, set in our transformation process. We have a high priority on the execution of the Greif business system in the tangible results and what I’d like to emphasize is I think in our future success the two critical components is how we strengthen and optimize our portfolio of businesses around the world, which we are in the process of doing. And then last we need to development a profitable path to growth and we will develop a strategy that emphasize those going forward, but again I’d like to make it very-very clear that our entire organization is totally focused on achieving the targets of our transformation and we are committing to get that done as an organization.
Chris Manuel: Okay that's helpful and then the second question I had was more specific to the flexibles business. I am kind of looking at the path over the past year or so in 2014, you guys made about 2.1 million this year adjusted it looks like you lost about 24 million, I think in your point of transformation presentation the business as we got out of ’17 was going to be I forget the exact number, but in the high single digits of a margin, what is kind of the path there are you still, at what point -- I am sure you had some sort of range of outcomes embedded into your guidance region and such, but when does that business start to become breakeven in the path forward there, can you maybe just a little color is the cadence?
Pete Watson: Yes, sure, well so the answer to that question really is similar to what we're trying to do for in a broader context so our entire portfolio optimization and analyzing our business, so what I’d like to do is really talk really quickly about what that process is and how we view our businesses and I'll talk specifically a little about FPS. So the answer is same sort of broader context with a portfolio analysis and overview process that we engaged in it involves how we're addressing our underperforming business and loss making operations. So what we do is develop and implement improvement plans we conduct reviews, we have stage gate milestones to determine our progress and then make decisions going forward, again it is the exact same decision process we used for all of our businesses. Specific about FPS in this quarter, we're certainly disappointed of the results, we're slightly behind schedule what we said would achieve a breakeven rate for the end of this quarter, that we just finished and that was a first stage gate. I would like to note that while we're slightly behind, the business is starting to generate positive cash flow and as a breakeven EBITDA basis before special items which is an improvement. And we are encouraged by the teams' commitment to resolve to reach our projects or our targets that we absolutely acknowledge as there's a lot more work ahead of us. We have a plan as you know, we talked about it in former calls that we have a three-year plan on a projected path to profitability and the first stage is to get to a profitability basis and stop losing money and we're on that path and we will continue to aggressively manage the business to get to that point. And as we talked about in our portfolio process, we will make observations and decisions along that stage gate analysis and do everything we can to improve the business and I'll also to say that our JV partners are very-very involved with us and collaborating to make this a successful business and that's the process we're using to move forward.
Chris Manuel: That's helpful but if I can just fine tune one piece, I mean, previously I do recollect on the milestones with the kind of breakeven coming out of the quarter and we're not quite there yet, but is that something that you anticipate this current quarter during you are in your first fiscal quarter second at some point during this year kind of what's -- as we can kind of see short-term milestones to see their success in the business?
Pete Watson: Sure. What we expect to be breakeven run rate out of our first quarter and some reasons why we believe that so we closed two big loss making operations in Morocco and Turkey in the first quarter. They are completely close. We had some run out cost on a onetime event it created some headwinds in our fourth quarter. We also have accelerated our SG&A initiatives, so our cost structure is lower and were starting here to see benefits in our active efforts in restoring margins by discreet pricing actions and I think you saw that in the one of our charts that showed why the volume is down and margins or the pricing is higher, so those are really three key elements of why we believe at the end of our first quarter we will see them reach that stage gate.
Operator: Our next question is from Justin Bergner with Gabelli and Company. Please proceed with your question.
Justin Bergner: A couple of quick questions here, as you look out to 2016, are you expecting operational improvement in each of your segments in 2016, as part of sort of your ’16 EPS guidance and the operational improvement that is part of that bridge?
Pete Watson: Yes. We are Justin.
Justin Bergner: Okay, great. So we should see sort of adjustment segment profit flat or up in each of the segments next year based upon your current view of the world?
Pete Watson: That's correct.
Justin Bergner: Okay, great. Second question is are there more dispositions that we can expect to take place over the course of fiscal ’16 or is that process mostly complete?
Pete Watson: Yes. So we announce in our fourth quarter EMEA two plants that we will close, one in Norway and one in the UK. And we have this portfolio optimization process that we continually review our businesses and our aim is to fix them and improve them. But as we move forward based on some of the economic challenges we might see in certain regions there might be some consolidations. I would not rule that out, Justin.
Larry Hilsheimer: Yes. And we continue to market a few discreet smaller business units and those kinds of things are ongoing.
Justin Bergner: And finally, in addition to the cash restructuring outflows expected in ’16, as part of your cash flow bridge. What sort of number should we be thinking about in terms of restructuring cost and their impact on GAAP EPS?
Larry Hilsheimer: Yes. We are anticipating between $20 million and $30 million in 2016 at this point, Justin. As part of the portfolio review process that we go through that Pete mentioned that could potentially change, but I don’t anticipate that at this point. But that's what we’re currently expecting.
Operator: Our next question is from Adam Josephson with KeyBanc. Please proceed with your question.
Adam Josephson: Just one question on your adjusted numbers, obviously in ’15 your adjusted EBITDA was 393 unadjusted free cash flow 70. So you've got less than 20% of your adjusted EBITDA translating to free cash flow. How relevant do you think your adjusted numbers really are and do you think it's worth continuing to report adjusted numbers given that beyond and gap between EBITDA and free cash flow?
Larry Hilsheimer: Yes I do believe that the adjusted numbers are relevant on overtime, Adam. We obviously do not anticipate ongoing restructuring beyond the next year of any significance and obviously we are hopeful that we do not incur significant impairments as we have in the past couple of years and so I do believe the adjusted earnings are relevant and meaningful and to work through and will correspond to the increasing performance of our free cash flow.
Justin Bergner: Pete, one on your expectations for container work prices I think you've said that you expect your prices to stabilize this fiscal year. Any particular reason why?
Pete Watson: Most of if you look at all the new capacity or additional capacity coming on stream, it's more toward the end of calendar year 2016 and because our fiscal year ends in October. I just believe you will have a more stable environment that's one person’s view, Adam.
Adam Josephson: Okay, okay. Back to Larry just on FX, forgive me if you have covered this. But what exactly are your FX assumptions for fiscal ’16?
Larry Hilsheimer: Adam it's not real practical to go sort of line-by-line by currency because of the shift in our supply chain we are recognized overtime so what we have done is tried to create a composite index about what we have balanced into our budget for the year applying into our overall business. And so that’s why I said 6% relative to the basket of currencies that we function in.
Adam Josephson: And can you go back to what the dollar index might have been that you are comparing to, that we should compare your guidance to. Just can you, do we have any way to tracking FX and comparing it to what you are assuming as part of your 205 to 235?
Larry Hilsheimer: Well what I am trying to explain is that if you used a one index for rates our composite rates in 2015 it’s a 6% decrement on an overall basis for the year.
Adam Josephson: Okay just last one from me. The $0.19 to $0.49 of the operational improvement you guided to in ’16 I know you said restructuring will be lower by 20 million. Can you go into what the other specific moving parts are including SG&A expense, volume and whatever else might be in that $0.19 to $0.49?
Larry Hilsheimer: Yes so first of all because it’s unadjusted the restructuring change would not end up impacting that. But then let me try to give you a breakdown of the elements on just operating profit margin and those kinds of things. So say between 15 million and 25 million of operating profit and from an SG&A standpoint Adam we would be looking at a range of somewhere from about 25 to 35.
Adam Josephson: 25 to 35 is that a…
Larry Hilsheimer: Million, million.
Adam Josephson: In addition to the 25…
Larry Hilsheimer: Yes, if you go back on in the answer that I gave earlier on the SG&A piece let me go back to that Adam just for a second.
Adam Josephson: Yes sure.
Larry Hilsheimer: So we -- as I said earlier an expecting savings of 26 million to 30 million on SG&A.
Adam Josephson: And the rest is so the rest -- okay and the rest of this would… [Multiple Speakers]
Larry Hilsheimer: And just sort of margin side of, gross margin
Adam Josephson: And volume, any volume impact there?
Larry Hilsheimer: That plays into the gross margin and you go back to Pete’s answer on what we anticipated around the world in terms of volume.
Adam Josephson: And just to ask that volume question one more time. I think you have addressed it twice but what exactly is your volume expectation for fiscal ’16 in total?
Pete Watson: Yes so Chris because we have such a wide…
Larry Hilsheimer: Adam.
Pete Watson: I am sorry Adam because we have such a wide disparity of products when you roll up units on a global basis RIPS it really is not -- it’s difficult to gauge so what we do is look at each region by specific or each region by every specific area. So to roll it up in one number is not practical to how we look at the business.
Larry Hilsheimer: Yes and Adam just for a specific example you get into water bottles, water bottle volumes can fluctuate immensely and then if you look at our filling business, that goes all over the place.
Pete Watson: I am sorry to give a directional answer Adam on paper packaging because it’s an easier view so our units are going to grow significantly higher than industry growth rates because of the expansion. And our sheet feeder business in North Carolina and the mill volumes will go up 43,000 tonnes relative to the expansion at our Riverville medium mill.
Adam Josephson: Thanks so just to clarify so the $0.19 to $0.49 is how much of EBIT because I know minority interest can skew things a bit?
Larry Hilsheimer: Adam we have been not going down the path of EBITDA guidance I mean so I gave you for instance from the SG&A and the gross profit. I think you can back in those numbers but I don’t have those numbers in front of me.
Operator: Our next question is from George Staphos, Bank of America/Merrill Lynch. Please proceed with your question.
Alex Wong: It is actually Alex Wong sitting in for George. Thanks for all the details. First question just on SG&A. Larry I think you mentioned 10 million to 14 million of expected savings outside of foreign exchange and I think that compares apples-to-apples to roughly 21 in prior comments in fiscal ’15 so does this suggest maybe a somewhat slowdown in momentum, or should we think about that differently? And then which region or areas should we really expect this to be most visible in?
Pete Watson: We had accelerated our efforts on SG&A as we discussed in each of our 2Q and Q3 calls. And so we did have a -- and we accomplished much of our overall objectives in '15. So when you are seeing the incremental in '16, yes it does look like the pace is slowing but obviously there is also the carryover benefits of the things that we accelerated. In addition we do anticipate that as we get further along with our implementation of our ERP system which as we have indicated in the past should be fully executed worldwide for us to the levels we have previously discussed. In early '18, we will be again be able to have more centralization into our shared service center and have additional cost coming up. As we approach the timeline of our run rate objective in our commitments coming out of '17. So we are still on a path of delivering the SG&A levels of savings that we discussed in our Q2, but yes there is a slowdown in pace of the incremental SG&A savings in '16 relative to '15.
Alex Wong: Thanks so much for that color. Just second question, if we dig into RIPS for a second, a couple of moving keys issue you announced a couple o0f plant closures in EMEA and I believe you mentioned the startup in Saudi and some discrete pricing actions. So as we look out into '16, can you maybe help us frame, should we expect a more pronounced pick up in the second half or is it more of a -- you mentioned that you expect to be flat or up for segment profits, so if you can help us think about the progression of that?
Pete Watson: So, thank you Alex this is Pete. So all the initiatives and actions were taken in the transformation process which you indicated, what we expect to see is incremental improvement in that business quarter-to-quarter.
Alex Wong: And then just lastly kind of going back to the volumes in North America, you talked about some of the factors maybe holding in on the pricing actions and maybe the onetime, downtime by your major customers, do you expect that to continue into '16 and how transitory nature are those factors?
Pete Watson: So the comment on the customer has an extended downtime that’s starting to be resolved so that’s a one-time event. I think the large majority of some of the discrete pricing activities have been completed. But what I will tell you through the transformation process not only for RIPS but all of our business, that’s going to be continue to be part of our DNA where we continue evaluate our profitability in certain accounts and certain product lines that we will continue to emphasize to ensure that we get the most value for what we are serving our customers with.
Operator: Our next question is from Steve Chercover with D.A. Davidson. Please proceed with your question.
Steve Chercover: Can you please remind of your integration level on containerboard?
Pete Watson: Yes so Steve our integration is in the low 80s, 80% range.
Steve Chercover: And you have said that you are buying linerboards, so I think in more of medium or skewed towards medium, are you paying less for virgin linerboard?
Pete Watson: We trade all of our virgin linerboards in that’s traded on a index that’s published in pulp and paper.
Steve Chercover: And then it appears that storage is becoming a bit of an issue in the North American oil industry as production exceeds demand. Does that have an impact for you on refined products or alternatively if production is ultimately curtailed, is that a negative that would -- and how they balance out?
Pete Watson: Yes it certainly is and the demand changes in that business has certainly had an impact in our volumes in North America and specifically in the Gulf Coast region.
Steve Chercover: Okay and one final question from me which is really a long-term question. So I mean in the last cycle, when I first started covering Greif, you had effectively re-earned your right to grow and now you are spending money to shrink. So I am just wondering when this is all settled in the next cycle, will you be much more careful when you grow?
Pete Watson: That’s a great question and you are exactly right, it is like anything you learn from what you did well, learn from what you might not have done well and I think you had a great explanation of what we will do going forward.
Operator: Our next question is from Chris Manuel with Wells Fargo. Please proceed with your question.
Chris Manuel: One I recognized Pete this is difficult question to answer as you sit here today but look two of your biggest customers are, two of that I would guess I mean your biggest customers are thinking about getting married. So how might you'll be able to utilize your great business tools in such a scenario to come out maybe perhaps winning volume or how might it impact you or et cetera? And perhaps you either do a lot of work now to rationalize and move the footprint to be closer to your customers. And perhaps your customers end up moving a bunch around as they put their own footprints together, how do you think about all that?
Pete Watson: That's a great question, Chris. And we actually -- I was at a conference call this morning with our leaders and global key account sellers about that exact point and it certainly looks like that's going to happen. I think when they combine, I think there's the chance of those three businesses changing again, so our focus and they're a two big customers of ours, our job is to create the most value we can for those and position ourselves that we’re valuable to their packaging needs, and I think as we view how that landscape changes, we need to position ourselves to continue to be the supplier of choice and be the safe choice and serve their needs like we have in the past and we just have to have more intensity about it going forward it will be an interesting one to watch.
Chris Manuel: All right It will be I mean as you sit right now I think in the RIPS business, you have no disclosed 10% customers, I am guessing if these two came together they would probably need that threshold even if they end up splitting I guess maybe not. But if they were just to come as one customer, would it make that threshold?
Pete Watson: I don't believe so and if I wouldn’t comment on it anyway if I knew the answer, I apologize.
Chris Manuel: No problem. A couple of other items, Larry, book versus cash tax rate, obviously it was quite few last year given the payment for a previous divesture or tax element, do those get closer to coming together in ’16 and then longer term most companies have tax rates that are in the mid to upper 30s particular even low 30s given a diverse global mix that most companies have somewhat similar to yours, so how -- you did some tax planning last year, how through time should we anticipate that rate moving?
Larry Hilsheimer: Yes, it's a good question, Chris, and I do anticipate that those two rates will come closer next year as we have talked we're not anticipating any impairments. Obviously, we're anticipating any by the booking, and the restructuring cost would be down, but the biggest thing that impacts that differential for us is when you have valuation allowances that we have to book for GAAP purposes that basically relate to the unlikely event that you'll be able to use the losses generated at least under the GAAP guidance and so that's what creates the difference. To the extent that we are successful of executing on our transformation plans what will be interesting as that unfolds is that you then end up freeing up those valuation allowances which actually drives down your GAAP tax rate a little bit artificially in the reverse scenario of what we've had historically. So we may still end up with an imbalance between those two items, but actually one that looks more favorable from an earnings perspective. Longer term as you look through those evolutions then what you're trying to do is develop tax strategies that allow you to defer taxes, there aren't very many that allow you to totally avoid them from a permanent different sized standpoints, so the two rates should eventually come much closer together on an ongoing basis. Sorry, if that's clear but the short answer to your question is, yes. It will get closer for ’16 and go down overtime.
Chris Manuel: I think you gave us a book number for ’16 of…
Larry Hilsheimer: 39 to 41.
Chris Manuel: What would you anticipate your cash component would be in there this year?
Larry Hilsheimer: I really haven’t looked at that, Chris. I am sorry I don’t have the answer for you.
Chris Manuel: All right, I'll follow that up. Two last relatively quick questions, one more for you Larry, within your investing section of cash flows you had a $44 million it looks like you financed something for someone within there, could you maybe give some more color on that what is?
Larry Hilsheimer: Yes, we in our securitization facility in Europe, the way that it is structured it allows us to only drawdown our important part and all redeposit cash with them and so it ends up being treated in the manner that it's reflected on that because we're trying to utilize it in a manner to keep our cost of utilization down particularly when we don't need the cash in Europe.
Chris Manuel: All right, so maybe approaching this a little differently, working with this, how does this relate with working capital, so is that part of I got to look back to the model I don’t know what it has with the working capital component was for the year, but is this related to…
Larry Hilsheimer: Through our operating working capital, Chris, it has no impact, it's not part of receivables or payables or inventory.
Chris Manuel: Okay so the securitization is still goes through something different. Okay last question was is I am looking at the volume trajectory that you just reported in Asia down 11% to 12% I mean we have heard of slowing in China that would seem to imply a pretty significant retrenchment. May be could you help us with Pete what’s happening there and is that changes or if it’s something temporary in nature or what have you?
Pete Watson: Yes, no that’s, predominantly it’s a temporary initiative that two of our large customers had extended downtime through most of the quarter that had the most impact on that, I would also tell you the economy is certainly slowing in China in the industrial sector which has had some impact on our Steel Drum business. But in that region again w have got some good growth in IBCs and we are starting to -- and we will see some improvement in our plastic drum business there.
Chris Manuel: Okay so for ’16 it is still probably a flat to maybe slightly improving it’s not a down double-digit type thing?
Pete Watson: No that’s correct.
Operator: Our next question is from Howard Bryerman with PENN Capital. Please proceed with your question.
Howard Bryerman: Just a quick question regarding your balance sheet, your 6.75 notes of ’17 come due in just about a year, any thoughts on refinancing and how that may impact your balance sheet and your leverage?
Larry Hilsheimer: Yes we you are right it’s coming due in ’17 we obviously continue to focus on our plans for that. We will have no problem at all in replacing to Saudi. We will be analyzing what the most appropriate form of that replacement for us will be and we will not change our balance sheet from a liability standpoint.
Scott Griffin: Okay everyone I would like to thank Rob for managing the queue. That concludes the presentation. The replay of the question-and-answer session will be available later today on our Web site at greif.com. We appreciate you interest and participation. Thank you.
Operator: This does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.